Operator: Welcome to Monroe Capital Corporation's Fourth Quarter and Full Year 2023 Earnings Conference Call. Before we begin, I would like to take a moment to remind our listeners that remarks made during this call today may contain certain forward-looking statements, including statements regarding our goals, strategies, beliefs, future potential operating results, and cash flows. Although we believe these statements are reasonable based on management estimates, assumptions, and projections as of today, March 12, 2024, these statements are not guarantees of future performances. Further, time-sensitive information may no longer be accurate as of the time of any replay or listening. Actual results may differ materially as a result of risks, uncertainty, or other factors, including but not limited to the risk factors described from time to time in the company's filings for the SEC. Monroe's Capital takes no obligation to update or revise these forward-looking statements. I will now turn the conference call over to Ted Koenig, Chief Executive Officer of Monroe Capital Corporation.
Ted Koenig: Good morning and thank you to everyone who has joined us today. Welcome to our fourth quarter and full year 2023 earnings call. I am here with Mick Solimene, our CFO and Chief Investment Officer; and Alex Parmacek, our Deputy Portfolio Manager. Last evening, we issued our fourth quarter and full year 2023 earnings press release and filed our 10-K with the SEC. On today's call, I'll begin by addressing our fourth quarter results and current market conditions. I am pleased to report that for the 15th consecutive quarter, our adjusted net investment income covered our $0.25 per share dividend. MRCC delivered a total annualized dividend yield and our trading price of over 13% using our March 8, 2024 closing share price. We are proud of our track record of delivering stable and consistent dividends to our shareholders.  In the fourth quarter of 2023, our adjusted net investment income was $5.6 million, or $0.26 per share, a slight increase from $5.5 million, or $0.25 per share, last quarter. We reported NAV of $203.7 million, or $9.40 per share, as of December 31, 2023, compared to $207.6 million, or $9.58 per share, as of September 30, 2023. The 1.9% decline in NAV was primarily due to mark-to-market unrealized losses attributable to a few specific legacy portfolio companies that continue to be impacted by macroeconomic and idiosyncratic challenges.  MRCC's debt-to-equity leverage decreased from 1.60x to debt equity to 1.50x. We continue to focus on managing our investment portfolio and selectively redeploying capital resulting from repayments into attractive new investment opportunities. Our underlying portfolio proved resilient as the vast majority of our portfolio companies generated solid revenue and EBITDA growth.  The portfolio's overall interest coverage remains sound with sufficient cushion to withstand a higher-for-longer interest rate environment. Further, our portfolio risk rating distribution remains stable. We continue to lean on our purposely defensive portfolio construct and focus on portfolio management as the direction of the economic environment remains uncertain.  Turning now to the broader lending market, overall M&A activity and loan volumes were down in 2023. Transaction activity began to rebound substantially in the fourth quarter, with direct lending volumes increasing by 31% from the third quarter, according to LSEG data and analytics. The momentum in deal activity from late 2023 is carried into early 2024. We anticipate this trend will continue as inflation and interest rates have shown signs of stabilization and private equity investors are actively seeking to deploy dry powder and LP capital. Direct lenders continue to dominate share of loan volume in the middle market, accounting for 8x that of syndicated loan and bank volumes in the fourth quarter. While we have seen heightened competition in the overall market, our ability to provide flexible capital solutions with low execution risks to our borrowers has proven to be a true differentiator. As such, we believe that our longstanding position in the lower-middle market is relatively insulated. Direct lenders, such as Monroe, stand to benefit from a growing opportunity set and a more active M&A environment. The current market dynamics continue to provide favorable tailwinds for private credit. While pricing has generally leveled off in recent months, loan-to-value and leverage attachment points remain at attractive levels. These deal structures offer compelling risk-adjusted returns for predominantly first lien senior secured lenders. We continue to leverage our lower-risk incumbency lending opportunities within the portfolio, which has allowed us to maintain a highly selective approach when underwriting new investment opportunities.  MRCC enjoys a strong advantage in being affiliated with a best-in-class middle-market private credit manager with $18.4 billion in assets under management, supported by a deep team consisting of approximately 245 employees, including 105 dedicated investment professionals as of January 1, 2024. We continue to focus on generating adjusted net investment income that meets or exceeds our dividend in achieving positive long-term NAV performance.  I am going to turn the call over now to Mick, who is going to walk you through our financial results in greater detail.
Mick Solimene: Thank you, Ted. As of December 31, 2023, our investment portfolio totaled $488.4 million, a $29.9 million decrease from $518.3 million as of September 30, 2023. Our investment portfolio consisted of debt and equity investments in 96 portfolio companies compared to 99 portfolio companies from the end of the prior quarter.  During the quarter, we funded $10.7 million to new and existing portfolio companies and an effective interest rate of approximately 12.4%. Additionally, we made a nominal equity investment in one of these portfolio companies. In the quarter, we also received three full payoffs aggregating $32.6 million at an approximate weighted average interest rate of 11.8%. One of the payoffs was associated with the sale of a portfolio company in which we had an equity position that also produced a realized gain of $275,000. Further, we incurred partial and normal course paydowns totaling $6.4 million. At the end of the fourth quarter, we had total borrowings of $304.1 million, including $174.1 million outstanding under our floating rate revolving credit facility and $130 million of our 4.75 fixed rate 2026 notes. Total borrowings outstanding decreased during the quarter as we utilized proceeds from payoffs and sales to pay down the revolving credit facility. As of December 31, 2023, the revolving credit facility had $80.9 million of availability subject to borrowing-based capacity. Now, turning to our financial results, adjusted net investment income, a non-GAAP measure, was $5.6 million or $0.26 per share this quarter compared to $5.5 million or $0.25 per share in the prior quarter. The increase in adjusted net investment income was a result of higher fee income and prepayment gains partially offset by a decrease in interest income. The decrease in interest income was driven by a decrease in the average size of our portfolio and a reduction in our weighted average portfolio effective yield, which decreased from 12.5% as of September 30th to 12.1% as of December 31st. We also wrote off the remaining $512,000 of accrued fee income from our former loan investment in IT Global. Excluding this write-off related to the IT Global interest receivable, adjusted net investment income would have been $0.28 per share, and our dividend coverage would have been over 1.1 times.  When considering current leverage levels, the interest rate environment, and the favorable percentage of our fund leverage at a fixed rate, we believe that on a run rate basis, our adjusted net investment income will continue to cover the current $0.25 per share quarterly dividend, all other things being equal. As of December 31st, 2023, our NAV was $203.7 million, which decreased from $207.6 million of NAV as of September 30th, 2023, and our corresponding NAV per share decreased by $0.18 from $9.58 per share to $9.40 per share. The decline in NAV this quarter was primarily attributable to net unrealized losses on the portfolio attributable to a few specific portfolio companies that continue to be affected by macroeconomic and idiosyncratic factors. The value of the remainder of the portfolio, including our investment in SLF, was relatively stable for the quarter. I will now turn it over to Alex, who will provide more details on our fourth quarter operating performance.
Alex Parmacek: Thank you, Mick. Looking to our statement of operations, investment income totaled $15.5 million during the fourth quarter of 2023, slightly down from $15.6 million in the third quarter of 2023. Both quarters included an impact for the reversal of previously accrued fee income associated with the company's former loan investment in IT Global, $512,000 for the quarter ended 12-31-23, and $1 million for the quarter ended 9-30-2023. The company has no remaining fee income accrued associated with IT Global. Excluding the impact of these fee income reversals, investment income decreased by $675,000 due to the decrease in the size of the average investment portfolio during the quarter and the reduction in effective rates on the portfolio. In the fourth quarter, we placed one new investment on nonaccrual. As of December 31, 2023, we had five investments on nonaccrual status, representing 1.5% of the portfolio at fair market value, a slight increase from 1.2% of the portfolio at fair market value as of September 30, 2023. Now shifting over to the expense side, total expenses remain consistent at $10.2 million for the fourth quarter of 2023. A decline in interest expense and other debt financing expenses driven by a reduction in our weighted average leverage level was offset by an increase in income taxes primarily associated with blocker entities that hold certain of our equity investments. Our net loss for the quarter was $3.7 million compared to a net loss of $5.7 million for the prior quarter. These net losses were primarily attributable to unrealized mark-to-market losses of a few specific portfolio companies. Turning now to SLF, as of December 31, 2023, the SLF had investments in 49 different borrowers, aggregating $139.9 million at fair value with a weighted average interest rate of 10.2%. The SLF's underlying investments are loans to middle market borrowers that are generally larger and more sensitive to market spread movements than the rest of MRCC's portfolio, which is focused on lower middle market companies. In the quarter, the average mark on the SLF portfolio increased by approximately 1.5% from 89.4% of amortized costs as of September 30, 2023, to 90.9% of amortized costs as of December 31, 2023. Consistent with the prior quarter, MRCC received income distributions from SLF of $900,000. As of December 31, 2023, the SLF had borrowings under its non-recourse credit facility of $82 million and $28 million of available capacity subject to borrowing-based availability. At this point, I will turn the call back to Ted for some closing remarks before we open up the line for questions.
Ted Koenig: Thanks, Alex. To conclude, we remain confident in the overall quality of the portfolio and its ability to navigate higher-for-longer interest rates in a volatile economic environment. Our predominantly first lien portfolio carries an average effective yield of 12.1%, offering compelling risk-return dynamics to our investors. Our focus remains balanced between portfolio management and selectively redeploying capital from payoffs into attractive new investments from the current vintage. MRCC continues to deliver a stable and consistent dividend for our shareholders. This marked the 15th consecutive quarter where our net investment income has met or exceeded our dividend. Our dividend yield is at an attractive rate of over 13% as of March 8th, 2024. We believe that Monroe Capital Corporation, which is affiliated with an award-winning, best-in-class external private credit manager with over $18.4 billion in assets under management, provides a very attractive investment opportunity to our shareholders and other investors. Thank you all for your time today. And this concludes our prepared remarks. I'm going to ask the operator to open up the call now for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Christopher Nolan with Ladenburg Thalmann. Please, go ahead.
Christopher Nolan: Hi. On the SLF, I noticed that there are four non-accruals, and I believe last quarter was one. It's going to be Monroe's responsibility to work through those?
Mick Solimene: Hi, Chris. Good question. So, just to clarify, non-accruals at SLF were four at this quarter end. It added a new non-accrual, a company called Cano Health. Last quarter, we also had four non-accruals. We took one off, a company called Bromford, which got realized. So, the net migration in the non-accrual category was basically flat quarter-over-quarter. And yes, while these are, you know, upper middle market credits, which have a little bit of a different profile than the direct middle market loans in the rest of MRCC, we are actively participating in the resolution of these non-accruals, much like we do in our direct portfolio.
Christopher Nolan: Okay. I guess as a follow-up question, does the level of non-accruals sort of affect the amount of leverage that SLF can take on and thus the income that MRCC would yield from that?
Mick Solimene: To a certain extent, it does. You know, we've deliberately kind of maintained the status quo at SLF in terms of just being a kind of a more reluctant participant in kind of the 2023 vintage, given that, you know, these are companies that are kind of in the upper end of the middle market, where structures are a little less favorable. Terms are a little less favorable. Yields are a little less favorable. But, you know, the non-accruals themselves hasn't really affected either our leverage or our borrowing capacity. We have, though, decided to maintain a pretty cautious approach in terms of the leverage structure in this vehicle. And that's why you've seen kind of over the course of 2023, leverage levels at the SLF fund level generally coming down.
Christopher Nolan: Okay. That's it for me. Thank you.
Mick Solimene: Thanks, Chris.
Operator: [Operator Instructions]. There are no further questions at this time. I'll now turn the call back over to our team. Thank you.
Ted Koenig: I want to thank you all for joining the call today. We're excited about 2024. We think the market's going to pick up substantially. And we look forward to talking to you again next quarter. In the interim, to the extent there's any questions or thoughts, please feel free to reach out to Mick or Alex. And we're always happy to talk between quarters. Thank you. Have a good day.